Operator: Greetings, welcome to Transcat, Inc. First Quarter Fiscal Year 2020 Financial Results Conference Call. [Operator Instructions]. Please note this conference is being recorded. I'll now turn the conference over to Craig Mychajluk, Investor Relations. Thank you. You may begin.
Craig Mychajluk: Thank you. Good morning, everyone. Certainly, appreciate your time today and your interest in Transcat. With me here on the call today, I've our President and Chief Executive Officer, Lee Rudow; and our Chief Financial Officer, Mike Tschiderer. After formal remarks, we will open up the call for questions. If you do not have the news release that crossed the wire after markets closed yesterday, it can be found on our website at transcat.com. The slides that accompany today's discussion are also on our website. If you would, please refer to Slide 2. As you are aware, we may make forward-looking statements during the formal presentation and Q&A portion of this teleconference. Those statements apply to future events, which are subject to risks and uncertainties as well as other factors that could cause the actual results to differ materially from where we are today. These factors are outlined in the news release as well as the documents filed by the company with the Securities and Exchange Commission. You can find those on our website where we regularly post information about the company as well as on the SEC's website at www.sec.gov. We undertake no obligation to publicly update or correct any of the forward-looking statements contained in this call, whether as a result of new information, future events or otherwise, except as required by law. Please review our forward-looking statements in conjunction with these precautionary factors. I would like to point out as well that during today's call we will discuss certain non-GAAP measures which we believe will be useful in evaluating our performance. You should not consider the presentation of this additional information in isolation or as a substitute for results prepared in accordance with GAAP. We've provided reconciliations of non-GAAP to comparable GAAP measures in the tables accompanying the earnings release. With that, I'll turn the call over to Lee to begin. Lee?
Lee Rudow: Thank you, Craig. Good morning, everyone. Thanks for joining us on the call today. I'll start by hitting upon some highlights for the quarter as we normally do and turn things over to Mike to provide a more in-depth view of the financials before I return to wrap things up with an outlook for fiscal 2020 and beyond. First quarter results demonstrated the continued successful execution of our growth strategy. We generated record sales of $42 million in the quarter driven by both double-digit organic Service growth and strong Distribution sales. The high rate of Service growth was higher than we had expected and had an adverse impact on our Service margins, which I'll touch upon in a few minutes. Operating income was relatively flat and would have grown absent a onetime $200,000 charge for the sales of building we owned located in Montana. The building was a legacy property from an acquisition many years ago. There were some tax adjustments in the quarter. And net income grew to $1.7 million and EPS grew to $0.23 a share in the quarter. I'll turn to our Service segment for a few moments and talk to growth and margin. Our strength and value proposition continue to resonate, and we continue to take market share from the competition, which is consistent with our plan. Segment revenue was up 16% and our organic growth rate was nearly 12% in the quarter. The 12% organic growth was a result of strong performance across most Service channel including large client-based lab wins in the quarter, growth from our existing customer base and solid growth in the Canadian market, which if you recall was a drag on results most of last year. We believe Canada has turned the corner; we expect to see positive results continue throughout the fiscal 2020 year when compared to the 2019 Canadian results. Relative to Service margins, among other metrics, we are tracking an interesting new data point to get a better understanding of our productivity. In the first quarter of this year versus the first quarter in the prior year, we experienced a 33% increase in the number of workhours of new technicians who have been with Transcat under one year. The increase impacted our margins as it takes newer techs more time to complete calibration. The hiring, onboarding and training of new technicians amidst double-digit organic growth and overall strong Service growth remains a challenge. That's one metric receiving a lot of attention and focus. To that point, I'd like to talk about the acquisition effective last Friday of Infinite Integral Solutions and their CalTree software. CalTree is the unique software that provides a series of calibration benefits including a robust programming base for the automation, single function test equipment. Single function test equipment represents about 25% to 30% of what we currently calibrate. By acquiring CalTree, we have an opportunity to both accelerate the pace of greater Service segment efficiencies and a productivity improvement by automating calibrations throughout our network of labs. This is especially important and impactful in an environment where the company is onboarding a large number of new technicians. The ultimate goal, of course, is enhanced Service margin to accompany a strong growth rate. At present, we are testing the software on various automation applications. Our goal is to roll out the automation software on a limited basis in the fourth quarter time frame and into next year. Moving on to Distribution. We generated sales growth that was broad based across most of our channels. While there was some mixed advantages on the growth line, we saw improved operating leverage. Our rentals business continues to perform very well, up more than 34% in the quarter. We also benefited from a significant level of sales activity relating to alternative energy and used equipment, both of which tend to vary from quarter-to-quarter. All in all, we continue to like our Distribution plan and a unique role it plays supporting our Service growth, and we'll continue to execute the plan as the year progresses. With that, I'll turn things over to Mike.
Michael Tschiderer: Thanks, Lee, and good morning, everyone. I'll start on Slide 4, which provides detail regarding our revenues As Lee mentioned, we started the fiscal year very strong with record first quarter consolidated revenue of $42.4 million. This represents an increase of almost 16% or $5.7 million over the first quarter of fiscal 2019. Service segment revenue increased 16% to $22.4 million, inclusive of revenue from Angel's Instrumentation which we acquired in August 2018. This marks the 41st consecutive quarter of year-over-year revenue growth. As we previously communicated, the immaterial revenue from the acquisition of Gauge Repair Service effective on April 1, 2019, which was the first day of our current fiscal year, is a bolt-on to our Los Angeles facility, will not be called out separately when we talk about organic growth versus total revenue growth. Organic growth for the -- this quarter for the segment was very strong at 11.9%, as we continue to take market share, especially in the highly regulated life science sector and other regulated sectors such as aerospace and defense. To put that growth in perspective, our stated goal is to achieve organic growth rates in the mid- to high single digits. So, anything in the double digits is certainly exceeding our expectations. When combined with acquisition, the Service segment has met our double-digit revenue growth expectations as demonstrated on a trailing 12-month basis and on a compounded rate basis since 2016. Distribution sales did increase more than 15% to $20 million and was driven by broad-based demand. Highlights, as Lee noted, included our rental business, which was up 34% to $1.2 million and higher alternative energy and used equipment sales. These can be lumpy. The Service segment gross margin was still pressured in the first quarter, especially by the investment around two new technicians that were hired to support our strong revenue growth. The techs taking time to train, develop and become productive. We also had some start-up costs and inefficiencies, uncertain of the large multi-year outsourced client-based lab contracts that we've won in the past year. And with our strong growth, we also saw an increase in the amount of work we outsourced to other companies and managed for our customers as part of our value proposition. This outsourced work generally has a lower-margin profile and as a percentage of total service revenue, outsourced revenue grew 90 basis points quarter-over-quarter to 15.2% of total Service revenue. Various initiatives associated with process improvement, productivity and automation, which Lee spoke to, are expected to abate these pressures as we move to the fiscal year and over the long term. Distribution gross margin was down due to some changes in the channel mix for the quarter and comparison to a very strong first quarter last year. However, we did have an 11.6% increase in gross profit dollars and saw good leverage with segment operating margin expanding 60 basis points to 6.1%. We continue to make investments in technology, infrastructure and our operational excellence initiatives, but our total first quarter operating expenses expressed as a percentage of revenue still decreased 20 basis points to 19.1%. And of note, included in the operating expenses was the roughly $200,000 loss on the sale of the company-owned building in Montana, the only real estate that we own. Absent this, we would have seen greater growth on the segment and consolidated operating income lines. On Slide 6, we show our bottom line results, which increased 20% to $1.7 million or earnings of $0.23 per diluted share. While we had expected a significantly lower first quarter tax rate versus full year effective tax rate, it ended up actually being a benefit in the quarter. The tax impact of share-based payment awards that are recorded on an in-quarter discrete basis was greater than expected due to a few things. Number one, largely the first quarter pretax income being lower than anticipated, our stock price and the award date increasing the tax benefit wins while related to certain stock awards and additional stock options being exercised in the quarter. Our effective tax rate for total fiscal year 2020 is now expected to range between 21% and 22%, which includes Federal, various state and Canadian income taxes. This is a decrease of 100 basis points from prior guidance. Moving to Slide 7. We show adjusted EBITDA and adjusted EBITDA margins. Among other measures, we do use adjusted EBITDA, which is a non-GAAP measure to gauge the performance of our segments because we believe it is a good measure of operating performance and is used by investors and others to evaluate and compare performance of core operations from period-to-period. I encourage you to look at the provided reconciliation of adjusted EBITDA to our closest GAAP measures, which are operating income and net income. On a consolidated basis, quarterly adjusted EBITDA was up 3% to $3.9 million while the adjusted EBITDA margin contracted 120 basis points to 9.3% largely due to the gross profit constraints in the Service segment. Slide 8 provides details regarding our balance sheet and cash flow. At quarter end, we had total debt of $22.4 million with $21.7 million available under our revolving credit facility. Our debt level was up $1.4 million since the end of fiscal 2019 and our leverage ratio was up slightly to 1.22:1. We calculate this leverage ratio as the total debt on our balance sheet at period end divided by the trailing 12 months' adjusted EBITDA including giving credit for any acquired EBITDA. Other companies may calculate such a metric differently. Capital expenditures were $1.4 million in the first quarter and primarily focused on customer-driven expansion of Service segment capabilities and acquiring pool assets for the growing rental business. As noted on Slide 9, we still expect fiscal 2020 CapEx to be approximately $7.8 million to $8.2 million. The majority of the incremental capital spend in excess of fiscal 2019 levels is planned for growth-oriented opportunities within both of our operating segments. Maintenance CapEx is anticipated to be similar to this past year at approximately $1 million to $1.5 million. We continue to believe we have sufficient liquidity for any investment opportunities that meet our strategic criteria. And lastly, we expect to timely file our Form 10-Q on or about August 7. With that, I'll turn it back to you, Lee.
Lee Rudow: Okay. Thanks, Mike. All signs continue to point to strong Service revenue generation throughout fiscal 2020. Organic service growth remains the priority as we believe we will continue to capitalize on our ability to win in the market. New business and acquisition pipelines remain strong and active. And as we move forward, we look to the balance our acquired and organic growth level. In parallel, we're working to find the sweet spot between growth and improved margins. As we move forward, we continue to believe we have a grounded view of what needs to be done. In addition to operational excellence, which includes a number of important productivity-enhancing initiatives, we believe automation is part of the solution. We expect that acquiring Infinite Integral Solutions and its CalTree software will provide a boost to automation and accelerate improvements heading into the future. We continue to move forward with confidence, and we're doing the right things to secure and leverage our unique position in the market. With that, operator, we can open the lines for questions.
Operator: [Operator Instructions]. Our first question is from Dick Ryan from Dougherty & Company.
Richard Ryan: Congratulations on a good quarter, guys. So Lee, you talked about -- obviously, the organic growth and Service was pretty impressive. And you mentioned that was across more Service channels. Was there any markets that didn't really perform in the quarter?
Lee Rudow: Dick, none that I would highlight. So, when we look at the way we go to market, we have a life science strategy that includes things like validation and laboratory equipment, we've got energy, we've general manufacturing and process. So, we really were strong across the board. The way I worded it was based upon just -- certain markets just did really, really well, like life science as it historically at least in the recent past has done. So, I wouldn't read into that as any weakness. It's pretty much strong across the board, so we're pleased.
Richard Ryan: Okay. And then you mentioned lab wins and some start-up costs. I think you have to go back to Q3 when you talked about some significant lab wins then, can you bring us up to speed how many labs you are currently operating in and what does that pipeline look like?
Lee Rudow: Right. So, in Q3, we talked about the large number of client-based labs that we had landed in the year. Normally just as a refresher, we typically win 1 or 2 big deals a year. Perhaps, there's been a year where we've won three. And last year, I think it was maybe 6 or 7. It was in the high to -- mid- to high single digits, which is a really high rate. And that continues. So, for the start of fiscal 2020 again, we've seen 2 or 3 more client-based labs. So, it continues to be an opportunity. It continues to be a strength for us. And I think one of the drivers for it is just the labor market, and I think a lot of the in-house labs for big manufacturers it's difficult for them to find technicians. I mean I have 350 technicians. They've five. And if they lose one, one retires or some board another company, they've serious risk around compliance. So, the [indiscernible] company like Transcat, they -- this is just not a problem they want to deal with anymore. And I think that's what's driving it. We are lucky because we may be the only company or we're certainly part of a small number of companies who can handle that sort of business, albeit pressure on the margins in the short run, but we can pick it up, and we can be successful and that's what we've been doing.
Richard Ryan: Okay. Are you having any retention issues with technicians?
Lee Rudow: No. Our retention -- our turnover rate has actually gotten better in the first quarter this year versus first quarter of last year. There is always some turnover that we have to deal with, but I wouldn't point that as any contributing factor to the number of new techs. Number of new techs for the most part are because we've new business.
Richard Ryan: Okay. And Mike, you mentioned the couple hundred thousand dollar loss push up extra about 19%. Should we still kind of look at that in the maybe low 18% range going forward?
Michael Tschiderer: Yes, yes. I think that's still where we think we will be Dick.
Operator: [Operator Instructions]. Our next question is from Chris Sakai with Singular Research.
Joichi Sakai: I have one. Just a question on the acquisition of IIS. Do you have a target as far as how it will improve margins going forward and add to revenue?
Lee Rudow: This is Lee, Chris. We don't have targets around how it's going to add to revenue. The idea behind IIS, as I mentioned in the script, is it's really to drive automation. And if you want a picture how automation impacts the company, I would look at it this way. You have a technician that typically would run through a calibration, but they take 30 minutes. Now they can hit a button or two. Once you get it up and running and program the software, they will be able to hit a button and it would self-calibrate. And while they're doing that, they can turn around and do another calibration or call it an incremental calibration. So that's how automation works. The benefit of automation over time is that we get more productive. And it even helps new technicians, and since we have a lot of new technicians, if you could teach them how to push a button and automate versus actually doing the manual CAL that's an advantage for us. There's about 20%, 30% -- 25% to 35% on the outside percentage of the work that we do today that lends itself this kind of automation. Now getting up and running with this is going to take time. Each variable is a pressure, needs to be -- we need to program for that, and then we got to go on to temperature and then we got to go on the flow to sequential sort of progressive in nature. It won't all happen at once, it will happen over time, but we feel pretty good about our ability to get this done as we move forward.
Joichi Sakai: Okay. Great. And then one last thing. This property in Montana, why was this sold? And why did you guys take the $200,000 loss on it?
Lee Rudow: Yes. So, this was a building that came to us actually with an acquisition we made in 2011, and it was just a building that was vacant now. And we don't have any operations in Montana. We've had it under market for a while and it just didn't make any sense to keep paying maintenance and just a risk avoidance of having a property that was baking by itself like that, that kind of a noncash loss was really the write-off of any of the remaining book value versus the sales price risk. So, we kind of bid it -- bid once, get rid of it, and we don't have any other property similar to that.
Operator: We have reached the end of our question-and-answer session. I'd like to turn the conference back over to management for closing remarks.
Lee Rudow: Okay. This is Lee. Thank you all for joining us on the call today. We appreciate the continued interest in Transcat for sure. We'll be participating in two investor conferences in September, the Dougherty Conference in Minneapolis on September 5, the Sidoti Conference in New York City on September 25. So, feel free to check in with us at those events or reach out to us anytime. Otherwise, we will talk to everybody after our second quarter results. We appreciate you participating on the call.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. And thank you for your participation.